Operator: Good morning and welcome to Olaplex Inc.'s First Quarter Earnings Conference Call. My name is Brandon and I'll be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder this conference is being recorded. I will now turn the call over to Allison Malkin. And Allison you may begin. 
Allison Malkin: Thank you and welcome to the Olaplex first quarter fiscal year 2022 earnings call. With me today are JuE Wong, Chief Executive Officer; and Eric Tiziani, Chief Financial Officer. For today's call, JuE will begin with a review of our first quarter performance and highlight the progress we made on our strategic initiatives. Then Eric will provide additional detail regarding our first quarter performance and fiscal 2022 outlook. Following the prepared remarks, the operator will open the call to take the questions you have for us today. Before we start, I would like to remind you that management will make certain statements today which are forward looking including statements about the outlook of Olaplex's business and other matters referenced in the company's earnings release issued today. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those projected in or implied by such statements. Additional information regarding these factors appears under the heading Cautionary Note Regarding Forward-Looking Statements in the company's earnings release and in the company's filings that it makes with the Securities and Exchange Commission that are available at www.sec.gov and on the Investor Relations section of the company's website at ir.olaplex.com. The forward-looking statements on this call speak only as of the original date of this call and we undertake no obligation to update or revise any of these statements. Also during this call management will discuss certain non-GAAP financial measures which management believes can be useful in evaluating the company's performance. The presentation of non-GAAP measures should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. You will find additional information regarding these non-GAAP financial measures and a reconciliation of these non-GAAP to the most directly comparable GAAP measures in the company's earnings release. A live broadcast of this call, which is accompanied by a slide presentation is available on the Investor Relations section of the company's website at ir.olaplex.com. Please take a moment to log on to the website to view the slides that go along with management's prepared remarks. I will now turn the call over to JuE Wong 
JuE Wong: Thank you, Allison and good morning everyone. I am delighted to speak to you today. As you can see from our press release, the first quarter marked an excellent start to the year with strong results that were aligned with our goals. With our fiscal year 2022 guidance of 36% net sales growth and 35% adjusted net income growth at the midpoint of our range, we expect to deliver top-tier industry sales growth and profit margins. We are proud that our business outlook has only become more favorable since the time of our IPO last year. This reflects the resilience of our disruptive business model rooted in scienced-based beauty the strength and health of our brand and the sustained positive impact of our competitive advantages. As a pioneer in the skinification of hair, Olaplex continues to lead the market with efficacious patent-protected products backed by science and we attribute our ongoing strength to our ability to improve hair health from the very first use. We have earned both industry and consumer awards for number one selling product across the prestige hair care segments in which we compete. We have an expansive growing community of professional stylists who advocate and educate consumers about the benefits of Olaplex and who we speak to every day. And all of these achievements come when we are still at the very early stages of our business in the fastest-growth category in beauty. You have heard me say this before and it bears reminding, we believe we have only just scratched the surface of our beauty journey. Because hair bonds are hair agnostic, I want to emphasize that repairing, strengthening and protecting hair bonds is foundational for all hair types and for everyone. Olaplex's product assortment includes shampoo, conditioner, hair treatment and styling products that are designed to repair hair bonds, which are damaged on a daily basis whether from brushing and blow drying, chemical treatments including, but not limited to coloring bleaching, straightening, highlights and digital perms or the environment. This proven treatment give us the platform to introduce new products and expand our end users in hair care to target overall hair health. The global premium hair care category has performed well during prior economic cycles. Even in the current environment that has seen macro headwinds from inflationary pressures we have continued to see strong growth momentum. For NPD, the US retail beauty category grew 19% in Q1 of 2022 versus Q1 of 2021. And prestige hair care grew 32% proving once again how resilient beauty is. According to NPD's tracking of US prestige hair products, Olaplex was the number one selling prestige hair brand in the US in Q1 of 2022. And Olaplex had seven out of the top 10 best-selling prestige hair products in that period. Olaplex No. 5 our bond maintenance conditioner ranked first. Olaplex No. 3 our hair perfector treatment ranked second. And Olaplex No. 4 our bond maintenance shampoo ranked third. We also consider our nimble organization and asset-light flexible operations model an enabler that allow us to adapt quickly. Our top-notch supply chain team has helped us to navigate the difficult global supply chain environment to avoid supply disruptions partially mitigate cost inflation and continue meeting demand with healthy levels of inventory.  With ample white space for growth to building brand awareness, expanding the product portfolio, and reaching new consumers in both the US and internationally we believe we are just getting started towards our long-term ambition for growth. Now, turning to an overview of our first quarter results. Net sales increased by 58% from the 2021 first quarter. Once again, our top line growth was broad based across product, channel and geography, reaffirming our mutually reinforcing synergistic omni-channel model. And adjusted EBITDA increased 47% with an adjusted EBITDA margin of 68%. These strong industry-leading results continue to be driven by our key competitive advantages. First, at the heart of it all, our science-based patent-protected products that really work. Our products are designed to meet our customers' hair healthier from the first use, and this is foundational to our success. We created the hair bonding category and offer a multistep regimen for treating maintaining and protecting hair health. In the first quarter, we continued to see broad-based growth across our portfolio of 12 products, which include three treatment products exclusive to the pro channel and now nine products for take-home use which are sold across our three channels. These are powerhouse products in each of their respective sub-segments. Let me share a good example of this from our professional channel, where according to the 2021 US Klein pro survey, based on point-of-sale data for salon sales of retail products, OLAPLEX had the top five best-selling hair care products sold at salons in the United States. In addition, according to Klein in 2021 OLAPLEX had the number one shampoo, number one conditioner, number one styling product and number one and number two treatment products by revenue. In addition, based on our quarterly independent brand health tracking, we saw that our brand strength held stable or improved in Q1 of 2022 versus Q4 of 2021, across all KPIs tracked, including awareness; funnel conversion where we have best-in-class conversion rate versus other brands tracked; future purchase intent and brand equity. Second, our growth is driven by our powerful innovation platform. Over the years, we have established a proven track record of highly successful new product launches. In March, we launched number nine Bond Protector nourishing, leave-in hair serum, which is another good example of our innovation leadership. Our Bis-amino technology and first anti-aging formula is a weightless silicone-free serum which acts as a shield from pollution and heat damage for 48 hours and is effective on all hair types and textures. No. 9 provide powerful antioxidant red algae with proven skin care ingredients' applied to hair care and nourishes, hydrates and protects with hyaluronic acids and panthenol. Further, it presents us a proprietary Pollution Prevention Index measurement PPI for short and gives consumers proven transformative results with the first use, shine, manageability and moisturization. It also offers the professional stylist precision and artistry control of their clients' styling and blowout as it has body, wave and curl memory retention properties. We are proud to see No. 9 exceeding our expectations at Sephora US No. 9 was the top 15 SKU for BSG for the entire month of March even though it was only on the shelf for three days of that month. And in April at BSG, it was a top three sales SKU for the month. On social media No. 9 has created a strong buzz that has led to increased engagement and increased user-generated content that demonstrate hair retention before and after use. The success of No. 9 and of all of our products reinforces our innovation track record. You have also seen our recent announcement of our AI virtual human. Research shows that consumers want to see themselves reflected in a brand to feel connected and engaged. At Olaplex, we believe that our new team member reflects a synthesis of us that demonstrates our most authentic selves and mirrors the community we serve. As unique as we are as individuals, we are united by Olaplex. This once again shows our commitment that we lean in on technology to bring our communities closer together. Next, we have a highly engaged community of stylists and consumers. Our professionals are our bedrock and we will continue to innovate with and for them. The continuous feedback loop we have with them ensures we both stay highly engaged and connected. This is evidenced by the category-leading engagements that we see from our community and social media. For example, since our initial presence on TikTok in 2020, our average engagement has grown from 650,000 views per day and 20 million views per month in our first 18 months to two million views per day and 60 million views per month in the last eight months, representing a tripling of engagements with TikTok users. We continue to rank as the number one prestige hair care brand on Instagram with 2.3 million followers. And #olaplex now has 13.5 million posts, up from 12.3 million posts during our IPO in September 2021. And as reported by Tribe Dynamics, we were once again the number one earned media value brand in quarter one of 2022. This shows how highly connected and engaged our community is and our ability to continue to recruit new content creators to our social media platforms. Our next key competitive advantage is our synergistic omni-channel sales model. Our three channels professional, DTC and specialty retail are mutually reinforcing and synergistic with each channel able to drive growth for the other. This harmony is an advantage given the noteworthy and individual merit of each channel to our overall success. Our reinforcing omni-channel synergies allow end consumers to find our product wherever, whenever and however they want to, especially as COVID restrictions are lifted with consumers returning to in-person shopping, while still leaning in on DTC for convenience. In Q1, we continued to see broad-based growth across these channels aligned with the expectations we discussed during our last call. In specialty retail, following our success at Ulta in salons, the first quarter marked our entry into Ulta Beauty across there are more than 1,300 retail locations and at ulta.com. I am pleased to share that through Q1 Olaplex has consistently been a top-performing hair care brand at Ulta Beauty continuing to outperform our and Ulta Beauty's expectations. This success has already led us to being recognized by Ulta as their 2021 launch of the year, which we were able to achieve despite only entering Ulta salons in October 2021 and all stores and online in January of 2022. Olaplex continues to lead as Sephora's number one prestige hair care brand. We will continue to expand our points of distribution with Sephora as the retailer opens in additional Kohl's locations within the U.S. and expands their hair care offerings in stores across Europe. In March, Sephora Europe rolled out its new hair care display with Olaplex as an anchor brand in all of those locations. We have also officially launched across 126 stores in Douglas Germany quickly becoming the number two hair care brand in Douglas Germany and look forward to increasing awareness and affinity for Olaplex with a prestige customer base. In professional, we had our biggest month ever in March at BSG and we continue to be the best-selling partner brand at Salon Centric. Over 4,000 salon professionals have opted into our loyalty program since October of 2021, and we continue to build our brand in key international markets where Olaplex is our distributors' number one hair care brand in markets such as the U.K. and Italy. In direct-to-consumer, we continue to grow across pure-play e-Commerce retailers and through an expansion of our footprint of olaplex.com, where we are now in the UK, Australia, Italy and Spain, as well as France where we launched in April. While small we also continue to capitalize on what we believe is a significant long-term opportunity for growth in China, through our cross-border relationship with Tmall Global. Recent data indicate that we achieved the number Seven ranked overall hair care brand on Tmall Global cross border in 2021. And that ranking increased by 284 spots compared to the previous year.  Last, but not least, our focused disciplined and purpose-driven organization remains one of our greatest strengths. To this end, this year we have hired two key C-suite executives: Charlotte Watson, Chief Marketing Officer; and John Duffy joined as General Counsel. We have also made additional key hires such as Kristi Belhumeur as our SVP Accounting and Principal Accounting Officer and I would also like to recognize, Emily Gerstell as our SVP of Strategy in our transformation team. We are excited to fill these important roles with such high-caliber executives. We are also advancing our ESG efforts by partnering with EcoVadis to further incorporate environmental stewardship and human rights into our vendor selection and supply chain processes as maintaining proper ESG standards across our supplier base is meaningful to our business, our reputation and to the impact that we have on the planet and its people. In addition, we are also identifying providers who can assist us in evaluating our plastic consumption and help us evaluate our path to reach plastic neutrality certification on our plastic packaging. In summary we remain excited about our business and continue to expect fiscal 2022 to represent another year of excellent sales and earnings results and significant accomplishments toward our goals. We believe the year will see us continue to capitalize on our opportunities to further grow brand awareness, expand our product portfolio, improve our productivity at existing points of distribution and broaden our distribution to new geographies and trade partners.  With a strong track record, a successful operating model and a talented team. I believe we are in an enviable position to continue to execute our expansion strategy and bring more efficacious, science-based innovation to market that solve real hair problems. I look forward to continuing to share our performance as the year unfolds.  And now I would like to turn the call over to Eric to review our financial results in greater detail and discuss our guidance. 
Eric Tiziani: Thanks JuE and good morning everyone. As JuE has mentioned we had a strong start to the year with our competitive moat and successful strategy helping us to deliver top-tier industry net sales growth and profit margins that were aligned with our expectations. And as our guidance suggests we remain positive about our business outlook. Now, turning to our financial results. My remarks will mostly focus on our adjusted results. You can find reconciliation tables to the most comparable GAAP figures in our earnings release, which were also furnished on Form 8-K with the SEC today. Highlights of our first quarter included the following: net sales grew 57.6% and to $186.2 million from $118.2 million during the first quarter last year. Across geographies, the quarter included a 65.1% increase in the U.S., which benefited from new distribution including the introduction to all Ulta doors and ulta.com. Outside the US, net sales rose 45.7%, with noteworthy contributions from Italy and France as well as Germany, which included our retail expansion into Douglas. China also delivered strong growth through cross-border e-commerce albeit on a small base. By channel, professional sales grew 62.6% to $77 million or 41.4% of net sales accelerating from Q4. This channel was particularly strong in the US, UK, Italy and Germany. The affinity for Olaplex continues to grow further demonstrating Olaplex's ability to create the canvas that our professional stylists can use to deliver an exceptional experience for their customers. Specialty retail sales increased 102.5% to $64.3 million or 34.5% of net sales driven by incremental distribution since the year ago quarter, particularly in Ulta, which saw strong replenishment following our Q4 2021 pipeline shipments and the impact of our new product launches. Direct-to-consumer sales rose 15.1% to $44.9 million or 24.1% of net sales. This performance was consistent with our plan, as we lapped the higher DTC trends experienced in Q1 2021. olaplex.com grew versus Q1 2021, due to increased traffic and higher average order value and through our expansion into the UK, Australia, Italy and Spain. During our prepared remarks from our last call in March, we said that we expected Q1 2022 sales growth to be higher than the fiscal year guidance, led by strength in specialty retail and professional above that expected by DTC. As you can see, this is consistent with the results we've just announced. Once again our sales results reflect broad-based strength across products, geographies, and channels. We've continued to see evidence that our omnichannel model with strengths in retail, in professional salons and online has been effective to meet our consumer wherever she decides to shop even if that behavior changes from quarter-to-quarter. To that point, while we continue to expect growth across our three channels, we are seeing a trend towards shopping more in physical stores and salons relative to traffic in DTC that we expect may continue in the second quarter. Our gross profit margin was 75.8% versus 79.2% in the first quarter of 2021. This decline was driven by cost inflation and $4.3 million of inventory write-off and disposal costs related to unused stock of a product that we reformulated in 2021. The ingredient addressed in the reformulation is no longer permitted for sale in the EU and appeared only in trace amounts in this inventory. In the interest of having a single formulation for sale worldwide, we reformulated on a global basis and are now disposing off unused stock. The write-off represents 230 basis points of the decline. Adjusted gross profit margin was 79.1%, down 220 basis points from 81.3% in the first quarter of 2021 due to cost inflation in inbound freight, warehousing and raw materials. This was consistent with our plan. SG&A was $22.3 million, up 97.8% versus the first quarter of 2021. Adjusted SG&A was $20.6 million compared to $10.2 million in the first quarter of 2021 reflecting continued investments in our business including $2.2 million in payroll, driven by the expansion in our team; $2 million in sales and marketing expense; $1.5 million in distribution and fulfillment costs related to the increase in product sales volume; as well as $4.7 million in other expenses pertaining to general business growth including public company costs to support long-term growth. SG&A was slightly less than our plan, due generally to the phasing of some activities moving out of Q1 and into the balance of the year. Adjusted EBITDA grew 47.3% to $126.4 million from adjusted EBITDA of $85.8 million in the 2021 first quarter. Adjusted EBITDA margin was 67.9% compared to adjusted EBITDA margin of 72.6% in the 2021 first quarter. Net income increased 36.1% year-over-year to $61.9 million or $0.09 per diluted share. Adjusted net income increased 60.5% year-over-year to $91.4 million or $0.13 per diluted share. Included in GAAP net income in the first quarter of 2022 are two non-operating charges. First, the successful refinancing of our existing secured credit facility with a new credit agreement resulted in an $18.8 million pre-tax charge or $15 million after tax representing $0.02 per diluted share. The $18.8 million includes an $11 million write-off on unamortized debt fees and $7.8 million cash prepayment penalty. Second, we took a $4.3 million pre-tax charge or $3.5 million after tax, representing $0.01 per diluted share to write down inventory as previously mentioned. Now turning to the balance sheet. Inventory at quarter end was $117.5 million compared to $98.4 million at the end of fiscal year 2021 and versus $42.5 million at the end of the first quarter of 2021. We are very pleased with the composition and quality of our inventory, which reflects the flexibility and agility of our supply chain. Our inventory levels of finished goods have increased, in response to longer international transit times, and we have increased the supply of raw materials and components on hand, to ensure we have the ability to meet demand, even with industry supply chain delays. We will continue to proactively manage the receipt of inventory, moving up deliveries and leveraging our largely U.S.-based sourcing to overcome macro logistical challenges. Turning to cash flow, at quarter end, cash provided by operating activities, rose to $72, million reflecting the strong EBITDA performance and the benefit of our asset-light business model. As of March 31st 2022, we had cash and cash equivalents of $143.3 million compared to $186.4 million as of December 31st 2021 and versus $47.9 million at the end of the first quarter last year. Long-term debt, net of current portion was $658.3 million, compared to $738.1 million at 2021 fiscal year-end, and $751 million at the end of the first quarter last year. Turning to our guidance, based on our strong Q1 delivery that was consistent with our expectations we are reaffirming the fiscal year guidance that we previously provided. For fiscal year 2022, we expect net sales in the range of $796 million to $826 million. Based on the midpoint of this range, this reflects, 36% growth versus fiscal year 2021. Adjusted net income, in the range of $363 million to $379 million, where based on the midpoint 35% growth versus fiscal year 2021. And, adjusted EBITDA, in the range of $504 million to $526 million, where based on the midpoint 26% growth versus fiscal year 2021. I mentioned earlier, that we expected Q1 sales growth to be ahead of the fiscal year guidance for sales growth which it was, in part, due to the fact that we were lapping a prior year period that did not include most of the impact from our 2021 new product launches and expanded distribution. As we anniversary those events going forward this year, we expect quarterly sales growth to be more in line with our full year range. In addition, we expect adjusted gross margin to be sequentially lower in Q2 versus Q1 from worsening cost inflation and some channel and product mix. However, given our plan to continue to implement mitigating actions throughout the year, we are not expecting an impact to our full year adjusted EBITDA or adjusted net income guidance. In summary, as JuE mentioned in her introduction, we are proud, that our business outlook has only improved since our IPO. Our fiscal year 2022 guidance represents top-tier, industry sales growth and profit margins. And we believe that all of this sets us apart, from many of our peers. We believe that our disruptive business model is working, the business is strong and we are excited about the ample white space that we have in the U.S. and internationally to continue growing in the years ahead. This concludes our prepared remarks and we'll now turn the call back over to the operator for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And from JPMorgan we have Andrea Teixeira. Please go ahead. Andrea Teixeira, your line is open. You might be on mute. Okay. We'll go and take the next question from Piper Sandler. We have Korinne Wolfmeyer. Please go ahead.
Korinne Wolfmeyer: Hi, good morning everybody, and thanks for taking the question, and congrats on the quarter. So I'd just like to expand a bit on the guidance. Can you just talk a little bit more about the puts and takes here with such a strong start to the year? I guess we were just a bit surprised to not see a raise to guidance here. So if you could just talk through what's all being considered whether it's some of the current macro pressures we're seeing, inflation, et cetera. Just a little bit more color here would be helpful? Thank you.
Eric Tiziani: Hi, Korinne. It's Eric. Happy to take that question. So as mentioned when we introduced that guidance on March 8, a strong Q1 was already part of our assumptions and our Q1 results met our expectations. So we feel like we're right on track. We're pleased to reaffirm our fiscal 2022 guidance, which we feel is very strong. At the midpoints of 36% net sales growth, 35% net income growth and industry-leading profit margins at scale these results project to be in the top tier of the industry. Of course what we think makes us stand out from many high-growth peers across industries is that we're not just high growth, we're extremely profitable with high cash generation and we're in a consumer replenishable category with strong growth tailwinds in 2022 and beyond. We really want to emphasize that. Of course, we'll continue to evaluate fiscal year guidance as the year progresses. But I would just say it's early and we're in a dynamic macro environment so we believe this guidance is appropriate.
Korinne Wolfmeyer: Thank you.
Operator: From Cowen we have Jonna Kim. Please go ahead.
Jonna Kim: Thank you. Just on the second quarter, it's also up against a pretty difficult comparison especially in professional and retail channels. How should we think about the growth in the second quarter as we think about the rebound in the professional channel and then you are opening more store obviously in retail channels? So just curious on your thoughts there. Thank you very much.
Eric Tiziani: Hi, Jonna. I'm happy to take that one as well. As JuE mentioned and I mentioned through the earlier remarks this is the beauty of our omnichannel model. We're there to meet our consumer wherever she or he is shopping. And so we are expecting continued broad-based growth across channels overall growth to be within our fiscal year range. And within that, we mentioned that we are seeing this shift of the consumer behavior to physical stores and to salons, even as they continue to use direct-to-consumer for convenience. And we expect that trend to continue in Q2. So broad-based growth across all three channels with a bit of rebalancing to pro and retail.
Jonna Kim: Got it. Thank you.
Operator: And we'll go ahead and try from JPMorgan, Andrea Teixeira again. 
Drew Levine: Hi. Good morning, everyone. This is Drew Levine on for Andrea. Thank you for taking the question and apologies about before. So I just wanted to ask about the state of the consumer. I think JuE mentioned in the prepared remarks and in the release, that premium hair care has been resilient through economic cycles. So just curious, I guess what you're seeing today, how that's informing the guidance. And any sort of historical learnings from the industry on changes in consumer behavior, whether consumers buy less, but stick with the brand, maybe shift channels from salons? Just anything there would be helpful. Thank you.
JuE Wong: Thank you. Let me take this call. This is JuE and happy to address this. It's a great question, because what we are seeing is that Eric has mentioned, the beauty category especially in hair is very resilient. We continue to see really strong growth across, not only the prestige hair category, but also in beauty. And the market, because it's resilient, even with the economic downturn and the pandemic, we are still seeing demand for our product because it is a replenishable. And you heard Eric talked about it as well as in our prepared remarks, the beauty of our omnichannel which is both synergistic and reinforcing is that it allows the consumers to really find us whenever and however and wherever they want to. And so as COVID restrictions are lifted, we are seeing the ebb and flow where they are able to go to a salon for in services as well as to retail for in-store experience and then lean in on DTC for convenience. So we continue to benefit from the consumers wherever they want to find ourselves. Hopefully, that answers your question.
Operator: Thank you. Please stand by for just a moment. Okay. From Raymond James, we have Olivia Tong. Please go ahead.
Olivia Tong: Great. Thanks. I have a couple of questions, hopefully relatively easy to fire out. But first in terms of the new products that you've introduced, are you attracting new consumers, or is it more widening penetration amongst your existing Olaplex users? And then just following up on the question around macro sensitivity, your consumer base is probably more reflective of a wider base of income levels than the average prestige brand. So just wondering if you see any differentiation in terms of purchasing activity or engagement up and down the income level chain with respect to your consumers. You have such a large and engaged social media community. What are they saying to you? And then just lastly, on competition. Obviously, competition has increased fairly dramatically over the last 12 months. Just your view in terms of the competitive set and how it's changed? Thank you.
JuE Wong: Thanks, Olivia for the question. Let me take this and I'll break it down. I'll start with No. 9. What we are finding is, as you can appreciate, every time we launch a product we try to make sure that it addresses a concern. That is through the continuous feedback loop, that we get not only from our consumers but especially, from our professional set. So No.9 really showcases the skinification of hair because it uses really great and proven skincare ingredients in the product. And we have been able to see that we are recruiting new customers. And that's the only reason, why you can continue to see we are a top performer at Sephora, with the introduction of No.9. As I've mentioned in my prepared remarks, we were the top 15 SKU at BSG in March where we were only there for three days. And then in April, we jumped to the top three selling SKU. So No.9 is definitely performing well for us. And on olaplex.com, what we are finding is No. 9 is actually being part of a purchase set that when people are buying No. 9, they will also buy other products from within our line. So that is very encouraging. The other question that you asked about is, the income levels. Because it is a replenishable, we find that we are also an affordable luxury product. And as a result, consumers when we look at brand health survey, has consistently said that, this is a product that they truly do not want to give up because they trust it and it delivers on performance. Again, very encouraging data point. And then finally, on competition. You've heard us say this before, we are happy with the competitive nature of this category and this is one reason, why the category is growing as fast. You've seen from NPD reporting beauty in general grew 19% in Q1, and prestige hair care grew 32%. And what this tells you is as more consumers are aware, of prestige hair care and what it can deliver understanding that if they're using great skin care, it can translate to hair care it would just lift the category that much. And given that OLAPLEX, is leading defining and shaping the prestige category, we will win especially when the consumers are searching and looking for high-performance patent-protected and science-backed products. 
Operator: Thank you. And we will now turn it back to JuE Wong for closing remarks. 
JuE Wong: Well, thank you, again. I know that this is a little bit shorter given, that we are doing -- Eric and I will be talking to you a couple of times later this week. But we look forward, to talking and speaking with you in our upcoming investor conferences, and when we report second quarter results in August. Thank you everyone. 
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for joining. You may now disconnect.